Operator: Good morning and thank you for joining us for Marine Products Corporation's Third Quarter 2015 Financial Earnings Conference Call. Today's call will be hosted by Rick Hubbell, President and CEO; and Ben Palmer, Chief Financial Officer. Also present is Jim Landers, Vice President of Corporate Finance. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. I would like to advise everyone that this conference call is being recorded. Jim will get us started by reading the forward-looking disclaimer.
Jim Landers: Thank you, Lisa, and good morning everybody. Before we get started today, I would like to remind everyone that some of the statements that we’ll make on this call may be forward looking in nature, and reflect a number of known and unknown risks. I'd like to refer you to our press release issued today, our 2014 10-K and our other SEC filings, which outline those risks. All of these are available on our web site at www.marineproductscorp.com. If you’ve not received our press release and would like one, please visit our web site again at www.marineproductscorp.com for a copy. We’ll make a few comments about the quarter and then we’ll be available for your questions. Now I will turn the call over to our President and CEO, Rick Hubbell.
Rick Hubbell: Jim, thank you. We issued our earnings press release for the third quarter of 2015 this morning. Ben Palmer, our CFO, will discuss the financial results in more detail in a moment. This time, I will briefly discuss our operational highlights. Our net sales increased by 24% during the third quarter and we generated improved margins. Net sales improved principally due to higher unit sales of our Robalo outboard sport fishing boats, as well as growth in sales of our Vortex Jet Boats and Chaparral SunCoast outboards. We continue to be pleased with the market share progression of all of our product categories. Our Chaparral sterndrive product continue to hold the highest market share in its category, approximately 14.5% for the six months ended June 30. We also announced this morning that a Board of Directors yesterday ordered to pay a regular quarterly dividend of $0.04 per share and a $0.04 per share special dividend. With that overview I’ll turn it over to our CFO, Ben Palmer.
Ben Palmer: Thank you, Rick. For the quarter ended September 30, 2015, we reported net income of $3.1 million, an increase of 64.9% compared to $1.9 million in the third quarter of 2014. Our diluted earnings per share for the quarter were $0.08 compared to earnings per share of $0.05 in 2014. During the current quarter, we really benefited from higher unit sales of our Robalo outboard sport fishing boats, as well as our Chaparral Vortex Jet Boats and the new SunCoast outboard models. Gross profit in the third quarter was $9.9 million, an increase of 41.7% compared to the third quarter of 2014. Gross margin during the quarter was 21%, compared to 18.4% last year. With higher unit production, we realized efficiencies which generated higher margins. Selling, general and administrative expenses were $5.4 million in the third quarter of 2015, an increase of $1 million, compared to the third quarter of 2014. These expenses increased due to costs that vary with sales and profitability, as well as higher advertising expenses. These increases were partially offset by a decrease in warranty expense, as a result of continued favorable warranty claims experience. U.S. domestic net sales continued to be strong increasing by 32.4% in the third quarter of 2015 compared to the third quarter of last year. International sales declined by 28.5%. This trend of declining international sales is due in part to a strong U.S. dollar, which makes our exported manufactured products more expensive and the consumers’ local currency. Interest income during the third quarter was $103,000, a slight decline compared to $116,000 in the third quarter of last year. Marine Products’ income tax provision during the third quarter was $1.454 million, compared to $810,000 in the third quarter of 2014. Our income tax provision increased due to higher income and a slightly higher effective tax rate of 31.9%, compared to 30.1% in the third quarter of last year. Our balance sheet remained strong. Our cash and marketable securities balance decreased slightly to $44.2 million at the end of the third quarter, compared to $49.8 million at the end of the third quarter last year. The decline in these balances was due to a $7 million increase in working capital as a result of higher production and sales. Also our capital expenditures for the first three quarters of the year were $3.6 million, which is higher than normal. At September 30, 2015 our dealer inventory units was comparable to the end of the second quarter of this year and also compared to the end of the third quarter of 2014. Order backlog however is substantially higher than this time last year, which is encouraging. And with that, I’ll turn it back over to Rick for a few closing comments.
Rick Hubbell: Thanks, Ben. Ben just mentioned that our order backlog is much higher today than it was at this time last year. Dealer backlog is an important metric for us and its recent increase indicates dealer confidence regarding consumer demand for our current models. As a result of this increased backlog and our general confidence in the near-term prospects for recreational boating, we have increased our production during the fourth quarter in preparation for the 2016 winter boat shows and retail selling season’s. Our annual dealer conference a few months ago was successful. In our second quarter conference call we talked about some of our new models for 2016 that are producing strong orders. All of our Robalo models continued to be popular as evidenced by this quarter’s financial results. We are expanding our Chaparral SunCoast outboard line up to include four models, which we will present to the market in a week or so. I’d like to thank you for joining us this morning and we’d be happy to take any questions you may have.
Operator: [Operator Instructions] And we will take our first question from Jimmy Baker from B. Riley & Co.
Jimmy Baker: Hi, good morning guys, thanks for taking my questions.
Jim Landers: Sure, Jimmy.
Jimmy Baker: Could you just speak to the international dealer inventories and dealer reorder activity internationally?
Ben Palmer: Jimmy this is Ben, consistent with the decline in sales obviously there is a lot of weakness there, domestic sales are now all the way up to 92.1% of consolidated net sales that continues to be quite weak, I think it’s, the inventory is in line with the sales progression, but we’re not obviously seeing any strength or any improvement in the orders going into the international market.
Jimmy Baker: Okay, is that largely Canada for you when you look at the 8% or so that’s international?
Ben Palmer: Canada is a pretty large percentage of that total, but obviously we have dealers in many other parts around the world. 
Jimmy Baker: Okay and then…
Ben Palmer: Canada has [indiscernible].
Jimmy Baker: Sure. Should we assume the production increases to mean that sequentially you’ll be increasing production relative to the Q3 rate and I guess can you just help us think about gross margins going forward, you’ve posted some very strong gains there this year, which I guess beyond Q4 is going to present some tougher comparison. So do you believe you can continue maybe at a slower pace but to continue to expand gross margins as we move forward into next year?
Jim Landers: Jimmy, this is Jim. I’ll answer the first part of that question. There is sequential increase in production and sales to dealers and that will be in the range of 10% to 15%. However, with the holidays, we do have a planned shutdown in December. So while the run rate will be good and fourth quarter results we think will be good, you won’t see that entirely come to the P&L. Our gross margin progression has been the things that we talk about which is production efficiencies and higher volumes. Some decline in the price of commodities, oil, copper, stainless steel, things of that nature, a lot of it relates to model mix it’s hard to say. We haven’t done our plan for 2016 yet and thought about production too much. So I think margin progression will probably continue but probably fairly muted, it is my – our estimate.
Rick Hubbell: I would agree with that. I think we are pleased with the improvement we’ve been able to realize but certainly would not say that there is certainly any guarantee going forward that it’s going to continue to improve at the same base.
Jimmy Baker: Very helpful and congrats on another great quarter, strong selling season.
Rick Hubbell: Jimmy, thanks. We appreciate it. Thanks for your support.
Operator: [Operator Instructions] And we will take our next question from Rommel Dionisio from Wunderlich Securities.
Rommel Dionisio: Good morning. Thanks for taking my question. You guys called out some specific lines that were doing particularly well for you in the quarter, the Robalo, the Jet Boats, the outboards. I do think if you could just talk about the course sterndrive segment, I know that’s been a somewhat challenging industry for a few years but are you seeing any sort of sounds of life, sounds of improvement there from an industry perspective? Thanks.
Jim Landers: Hey, Rommel, it’s Jim, great to hear from you. In general, the sterndrive boat business has not recovered from the recession and if you look at current sales levels compared to pre-recession levels, they are the weakest in the business and the reports most recently show that year-to-date through September, sterndrive boat sales are down 8%. So we’ve been [indiscernible] along the same brand and we have had some nice market share gains, we are now number one. When you know us a few years ago, we were number three or so. The large – everything is relatively in term of the boat size but large cruiser markets continue to be weak. We have had some good success with a tour of large mid whole cabin power rider that’s in upper 20s to low 30s, low 35s [ph] range and that’s been a bright spot for us. And then we also have done well with these entry level Chaparral boats, we call that H2O. Those are selected successes and we keep trying to find little niches in the market where we can have some success in the sterndrive area but in general it’s been weak.
Rick Hubbell: Yes. The response to that general lack of strength and in some case the weakness what we’ve done is obviously gotten into gotten into, where we continue to emphasis Robalo to outboards which are doing fantastic getting into the jet drive boats. And again like the SunCoast models, we are looking for opportunities to put outboards on the Chaparral, so that’s been our response. I think it’s worked out real well for us. We are certainly where you want to call it, I wouldn’t say concern or other things we can do like with outboards on the Chaparrals. Certainly we would like there to be more strength in the sterndrive market but we’ve been able to make the adjustments to continue to generate the sales growth and improvement in margins that we’re all looking for.
Rommel Dionisio: Okay, very good. Thanks and congratulations on the quarter. Thanks.
Rick Hubbell: Thanks.
Jim Landers: Thank you, Rommel.
Operator: [Operator Instructions] It appears we have no additional telephone questions at this time. I’d like to turn the conference back over to Jim Landers for closing comments.
Jim Landers: Okay, Lisa. Thank you. Jimmy and Rommel, thanks for your questions. We appreciate everybody else who called in to listen. We hope everybody has a good day and we will see you soon. Thanks.